Operator: Good morning and welcome to the second quarter 2010 results conference call. (Operator Instructions) Before the conference begins, please remember that the company will be discussing some issues that are historical and some issues that are forward-looking. When the company speaks about future results or events, there are a variety of factors that may materially change their actual results from those projected. A list of relevant factors may be found in the earnings press release as well as the company's 2009 10-K filed with the SEC on March 15, 2010. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the company may discuss EBITDA. EBITDA is a measure of performance under Generally Accepted Accounting Principles and is considered a non-GAAP financial measure as defined by the SEC. The company may present EBITDA, because management believes that EBITDA could be useful to investors as an indication of their ability to incur or service debt and because EBITDA is a measure under their credit facility to determine whether they may incur additional debt under such facility. For reconciliation for income before the income taxes up to EBITDA, please refer to the company's current report on Form 8-K furnished to the SEC on July 27, 2010. Now the meeting will be turned over to Mr. Edward F. Crawford, Chairman and Chief Executive Officer.
Edward Crawford: Good morning, ladies and gentlemen. Thanks for joining us today as we review the second quarter 2010 Park-Ohio results. I'd like to turn the presentation over to Matt Crawford, President and COO of the company. Matt?
Matt Crawford: Thank you and good morning. The second quarter 2010 performance continued to show not only substantial improvement over the same period during 2009, but also improving trends in this quarter. Versus a year ago, revenue was up 21% to $198 million. The improved revenue environment was especially notable in our Supply Technologies and general Aluminum businesses, although business conditions are improving in our Manufactured Products as well. Earnings improved just over 4% to $3.4 million or $0.29 a share, but this improvement is somewhat understated given the effect of the $3.1 million of earnings associated with the company's repurchase of sub-debt during the second quarter of 2009. Cash performance has also been strong, allowing for net debt to be reduced by over $20 million so far this year. Looking at Supply Technologies, our Supply Tech revenue improved 25% year-over-year due to increasing build rates in most end markets. Notable improvements included heavy duty truck, consumer electronics, semiconductor, auto and the industrial equipment end markets. Second quarter revenue trend in the supply chain business also improved with the average daily sales reaching 1317 versus average daily sales in the first quarter in the supply chain business of 1295. Supply Technology earnings increased 84% by $5.3 million, a margin of 5.5%. Recovering volumes were primarily responsible for this increase. Although we are operating the business with some cautious optimism, we also recognize the precarious foundation upon which this nation's economic recovery is being built. General Aluminum, revenue continued to benefit from the resurging auto industry, growing 74% versus last year. Including this improvement was an additional new block of business that was kicked off in the second quarter. EBIT improved to a positive $2.3 million from a loss last year and also improved 20% plus from the first quarter. Although we are still not achieving target margins, the increased utilization and product mix is benefiting our results meaningfully. In our Manufactured Products Group, revenue trailed last year's performance just slightly with revenue of $63.5 million. More instructive though is the improvement from the first quarter of 4.4%. This increase in revenue was due largely to an improving capital equipment environment. In fact, June was the largest equipment bookings month in almost a year. Offsetting some of this good news was the continuing softness in locomotive builds, a key end market for our forging business. Earnings of the manufactured products group was down to $7.6 million, reflecting the relative softness versus last year's second quarter in the equipment business. But this number reflects a significant uptick from the first quarter earnings of $4.9 million. We are optimistic that this segment will continue to build momentum as global industrial companies increase productions. Turning to our balance sheet, perhaps our most outstanding achievement year-to-date is generating over $21 million in cash to reduce net debt to $289.7 million. I want to compliment all of our operating team on excellent working capital management and CapEx discipline. Our availability on our senior credit facility now stands at over $45 million. In closing, we're happy to report we're slightly ahead of where we expected to be in this tepid economic recovery. We are cautiously optimistic going into the second half. Based on this, we are increasing our sales guidance to $780 million and earnings per share guidance to $0.85 to $0.95 per share. Thank you very much.
Edward Crawford: Thanks, Matt. Just a couple of comments. We have talked in the most recent gatherings on preparing the company for the future, making all the tough changes when the economy really hit the floor in the first quarter of '09. We thought we had the company prepared; we do. You can see the tremendous amount of increase in income. And when the sales only went up from $344 year-over-year to $390 that bodes well for the leverage that's built into the company as revenues increase. Individually, each unit, the Supply Technology continues to perform as expected. As revenue builds, clearly, that company will enjoy considerable increase in profits. Manufactured products' a little bit off its peak gain, but we're optimistic there's parts and service that continue to increase in that backlog. And we all know the aluminum story; we talked about it for many quarters. As expected, at least some of us as expected are continuing investment in a very tough industry. We're excited about what's happening in Detroit with the big three. We see a better run auto industry, fewer suppliers, and that means we are in the right position at the right time. We're still running less than 50% capacity in that particular division. So there's lot to be done there. We've made the investment and we're looking forward to the results. We're again pleased to be able to change our guidance. We're on solid footing here, and we're hoping to have a very, very solid balance of 2010 and look forward into 2011 and 2012. As things improve, revenues increase. We're ready to take advantages in all sectors of the company. I'll be glad to take questions from our supporters and stakeholders.
Operator: (Operator Instructions) Our first question is from the line of Richard Paget with Morgan Joseph.
Richard Paget - Morgan Joseph: If I look at the second quarter compared to the first quarter, it seems like the incremental margins in every division are up significantly. Where basically on a sequential basis there was some improvement on revenues, but profitability margins went way up. I wondered if maybe you could kind of address that, whether it's mix issues or anything else on each of the segments.
Matt Crawford: You're referring just to first versus second quarter?
Richard Paget - Morgan Joseph: Right; yes.
Matt Crawford: Well, I guess I would start with a global comment of saying that unquestionably most of our businesses have a significant amount of operating leverage. I guess to prove the point, it was a little painful on the way down, so I guess you shouldn't be overly surprised to see incremental flow-through of substantial margin on the way back up. So, I think that's an important point to make, and I think more specifically what I would say is, the capital equipment business, the industrial equipment is one of our highest margin businesses and if that gets on more sound footing the incremental margins there are expected to impact the overall business meaningfully. So I think that's an important point. And then I would also mention, as it relates to Supply Technology, although we talk about incremental revenue and flow-through being important there, I think that we're still benefiting from better discipline with the management team down there that's doing a great job relative to pricing disciplines and things that are efforts that we put in place during the downturn to really address the 'new normal' of volumes.
Richard Paget - Morgan Joseph: And then getting back to some of your prepared remarks, you talked about June being a great month for bookings. Can you talk about maybe geographically where that's coming from and what are end markets for manufactured products?
Matt Crawford: Once again, in the Industrial Equipment Group, which on the new equipment side of the business, just to kind of remind you, the business is relatively evenly split between the OEM part of the business, the new equipment part of the business and then the aftermarket business. Both have been somewhat weak. Really, beginning in the third quarter of last year I think that we've continued to see some anecdotal evidence as I've mentioned on prior calls that the aftermarket business is coming back a little bit. We've been seeing some evidence of it in the new equipment markets. And to answer your question directly about where, we've seen some fairly positive signs out of the U.S. So really, North America has been pretty strong for us, and I would say interestingly enough we've continued to see some strength in the oil and gas end-markets. So although we are seeing some resurgent in the induction market as well, it's got some good breadth. But I would say what's notable is the oil and gas end-market and what's notable is our North America.
Richard Paget - Morgan Joseph: And then you guys sound like you are somewhat cautiously optimistic. Are you being a little bit more guarded about this recovery due to those headlines or you're actually seeing some customers get a little bit more cautious over the last month or so?
Edward Crawford: Well, I think we're being cautious here at Park-Ohio. The plan here is been to increase the margins and follow the revenue up and concentrating particularly on operations and margins and paying down back debt, and generation cash has been the plan. And we're just going to smile. I love this, what I call the orderly or controlled decent here. We like the volume to go up little bit at a time, that's the way it seems to be happening. Supply technology business, all of our wonderful customers there are starting to pick up. But I don't see anybody charging out and building lot's of inventories. So we like the atmosphere we're in, it's cautious. We can achieve our goals, but we are anxiously looking forward to moving revenue and it comes in the latter part of this year, it comes in 2011 we're ready. But I haven't seen anything and I don't feel other than the auto business, it's really exciting we're tapping in these rates. These companies up there are just run today. So we're pretty excited about that. That looks strong for the balance of the year.
Richard Paget - Morgan Joseph: And then finally on interest expense; I know you guys have been paying down some debt and you have a new facility. What are your expectations for 2010 interest expense?
Jeffrey Rutherford: As you know in '09, we reported $23.2 million interest expense. And because of the refinanced bank facility, we are paying a higher interest rate, the average 250 basis points. We are now forecasting at approximately $24 million.
Operator: Our next question is from the line of Douglas Ruth with Lenox Financial Services.
Douglas Ruth - Lenox Financial Services: Could you talk some more about the Aluminum business and specifically what's happening?
Edward Crawford: Well, what we hope to happen, I talked to describe the Aluminum business as a kind of an intersection where you have demand in cars going up and a number in the supply pace going down. And we're there, there is a lot of activity, a lot of new business. And we are expecting to be a benefactor of that. I mean again, we've bought the facilities, we've made the investment. It's nice to be able to step in the way of some new business and possibly even some takeover business. We really don't have to go out and spend all that CapEx. We've already spend the CapEx by buying a couple of distressed companies. So it looks very solid. And quite frankly, I'm just impressed the way those companies are run. The price is particularly doing an outstanding job. And there is some stability to the marketplace and it's just a good place to be right now and we hope that it will continue. But you can see that, the dramatic swing, just year-over-year; if you take '09 to '08, just look at the earnings, I mean from a negative $4 million to $5 million to positive $4 million to $5 million. It's dramatic, but we were prepared for it and it looks very solid. Better run companies up there. We're very comfortable at 12 million cars. We can be there. It goes above 12 million, and I think we really can have some fun for the first time in this business in three years. But painful as you know.
Douglas Ruth - Lenox Financial Services: And you feel that the run rate is about 12 million for the year in the auto?
Edward Crawford: While you're talking about run rate, I'm talking about selling things. and what's interesting is I don't think these companies have these big inventories they used to have before; build the cars and stick them in the lots. They don't stick them in the lots. So it's pretty good, there is a tighter feeling about this industry. And you're not getting sales now that are going to taken away from you in the third, fourth and first quarter of next year.
Douglas Ruth - Lenox Financial Services: The build and the sell rate are fairly close then at this point?
Edward Crawford: That appears to be the circumstances, and that's good for someone that gets a truckload of aluminum in today, and turns into receivables in less than 24 hours.
Douglas Ruth - Lenox Financial Services: Can you give us any further color? Could we as investors expect some news on some takeover business in the second half of this year?
Edward Crawford: Yes. In the revenues in the second quarter some takeover business. We don't like to talk about that very much. That's what is exciting about what's happening here is there is some takeover business that's in the second quarter that's going to continue for at least another 18 months.
Douglas Ruth - Lenox Financial Services: Congratulations. That sounds terrific.
Edward Crawford: We don't like to step in. We'll step in and take over a business if it's got a two-year life in it. We won't do it if it's a six-month life. But I'll tell you, quite frankly, it won't be too far in the future, hopefully the next call be talking about new business that's scheduled for the 2012 season, which means it starts in September of 2011. Maybe that's a little optimistic, but it's out there.
Douglas Ruth - Lenox Financial Services: Okay. Also, it's a great improvement and thank you for what you've done for the investors, Ed.
Edward Crawford: Thank you for your support.
Operator: Our next question is from the line of David Marsh with McMahan Securities.
David Marsh - McMahan Securities: Matt, I am sorry I was writing some things down quickly, I didn't quite catch. Can you just recap the guidance for the year that you expressed there?
Edward Crawford: We surprise you; so much of the upside here; you're a little spun there; is that what's happening here this morning?
David Marsh - McMahan Securities: Yes.
Matt Crawford: Sure, David. We don't typically do sales guidance, but we did release some sales guidance earlier this year. So we figured we wanted to update that to $780 million, and then also increased our earnings per share guidance dime on both ends. So we went from 75 to 85, and we improved it to 85 to 95.
David Marsh - McMahan Securities: And then just a few housekeeping items. What was your capital spending in the quarter?
Edward Crawford: For the first half, it's less than $1 million.
David Marsh - McMahan Securities: And I just wanted to talk a little about the debt paydown. It looks like you chose to pay down the revolver. I guess the question would be, is there any early prepayment penalty on the term loans and is there any particular reason why you wouldn't maybe want to take out this term B since it's at a higher rate and you're going to have to pay it down here in the next couple of years anyway?
Edward Crawford: You're not calling on behalf of the banks, right?
David Marsh - McMahan Securities: No, no, not at all. No, I'm sure the banks actually don't like to hear that question.
Edward Crawford: The term B has a two year amortization, so it's pretty quick anyway. And there is excess cash flow, accelerated payment requirement. So regardless of what we do, that's going to amortize close to somewhere between $8 million to $9 million through the end of the year. So to all intents and purposes, it's really an 18-month amortization. And we'll evaluate that before the first quarter '11 amortization to determine if want to pay it down earlier or not. So our plan is, and now that everyone knows, is we're going to evaluate as we go through it, and that's on the B. On the A, I think we're pretty comfortable with where we are at on the A, and based upon what the collateral is behind the term A.
David Marsh - McMahan Securities: Right. Yes, I was targeting specifically the B, because of the fact that it's at the higher rate. What was your stock-based comp in the quarter? Was that the 551 of other that gets into the EBITDA calculation?
Matt Crawford: That's amortization on restricted shares.
David Marsh - McMahan Securities: And then I guess the other question is, despite the nice year-over-year increase in revenues, you guys have done a really tremendous job on working cap. When you look at your working capital, I mean is it sustainable at this level or is it something that is going to be a use of cash going forward?
Edward Crawford: It's obviously not sustainable without management. And what's happened in the first half is obviously we're spending on receivable increase. Where the operating companies have done a really nice job is holding down inventory. And it's across the board on inventory management; it's all the segments have done a very nice job. And then at the same time we've been able to leverage up on payables, because the inventory return in supply technology particularly has done a real nice job on that. So is it sustainable? I think it's going to become more difficult as sales increase, but it gets a lot of attention and our operating controllers and CFOs have done a fabulous job of maintaining it. So I think the level is maintainable as a percentage of sale. But as sales increase, we're going to see increased spend in working capital.
David Marsh - McMahan Securities: Right. I think you did an excellent job in the quarter and in the first half. I guess the other question, the last question that I had, can you guys discuss a book-to-bill or a bookings direction in general in the manufactured products business and could you just give us a sense of how bookings are trending there?
Matt Crawford: We don't typically talk about that. And I'll tell you why. You can get a little burn by that number, and when things got tough last year, some of the ship dates got pushed up. So that number can be for some of the equipment that's in the backlog a little more fickle. When times are good, obviously it's a solid number; when times are not as good the number is not as good. So that's not a number that we tend to want to talk about. But I think it's very instructive that the equipment bookings trends are improving. And so, as I mentioned in the discussion, we saw the best bookings month in almost a year just recently, so we're feeling relatively bullish about that business at this point. But it's got a long way to go. I mean, it obviously had some significant revenue shortfalls in the third and fourth quarter of last year. So it's a solid pace in building back. And the business improves certainly around some individual large orders, but it also builds with a lot of couple $100,000 orders. So I think we're headed in the right direction.
Edward Crawford: Let's point out one thing about the capital equipment. That's a very important part of that segment, but the parts and service that we don't really talk enough about we have a very large commitment internationally in North America. The service and parts for the equipment, it's already in the field. And quite frankly, the parts and service business, and particularly the replacement parts are very, very increased velocity. I mean, this is why the service as expected pulls us through the breakdown in the volume. And as the parts business really builds up this quarter and into the future, the cap equipment will follow. Hopefully, again, we'll get an opportunity sometime in the future here for the first time to get all three silos in the business, the supply technology, aluminum and capital equipment all going at the same time. So we're looking forward to that event. That's why the equipment in the field and servicing that equipment is a very important component of the profit of that particular unit.
Operator: Our next question is from the line of (John Baum), a Private Investor.
Unidentified Analyst: I know you've been working hard. Especially I'd like to reiterate the working capital management. That's been outstanding. Some corporate housekeeping questions, and then I will toss at you a softball here. First, on the cash taxes, the pay rate, you got 29%, 30%. Jeff, are you looking for cash tax pay rate to be less than that for the full year?
Jeff Rutherford: Cash taxes for the first half are going to be less than $1 million.
Unidentified Analyst: How about full year? You got any guidance for that?
Jeff Rutherford: We're still looking at something around $4 million.
Unidentified Analyst: Full year CapEx guidance, you've done a great job so far, but at some point are you starving operations and you're going to have to start spending on CapEx, so little bit second half and any forecast, maybe initial forecast for all '11?
Jeff Rutherford: I think you'll see a little bit from the maintenance point of view. Again, the lid is on the CapEx here. And again, as you know John, we've spent a lot of money on CapEx for a lot of years in a row. So we're not depleting and not selling the future of the company by not maintaining the equipment. But it should be really tight still for the balance of the year.
Unidentified Analyst: Year-end inventory goal, you are at $169 million right now. Is there going to be any build going into the next year, especially in aluminum products? Are you comfortable with inventories right now?
Edward Crawford: Aluminum, it's all velocity; it's aluminum in and aluminum out. I think Jeff could comment on the Supply Tech business. We talked about making some changes in the crisis or what I call the (cliff). So we think quite frankly, we have a better company operationally in Supply Tech than we've ever had before. If we return to the levels we reach one time of $600 million and plus in this business, you're going to be very pleased with the amount of inventory we run that business on, I can tell you that. But we are ahead of our plan on inventory, and we do expect a little bit of inventory build through the end of the year, and also on receivables. So we are ahead of plan on working capital. We would expect that if the sales momentum continues as we expect, we're going to see some increase in that inventory level. That's significant, but it's going to increase 5% to 10%.
Unidentified Analyst: Corporate Other increased quarter-over-quarter from about $3 million to $4.2, about 42%. Any unusual numbers in there?
Jeff Rutherford: In corporate expenses?
Unidentified Analyst: Yes.
Jeff Rutherford: No, there is nothing unusual. We'll get some timing on it sometime in there, but overall there's nothing unusual in there.
Unidentified Analyst: You had a public filing that showed $60 million in EBITDA, is that still baked into the forecast right now?
Jeffrey Rutherford: On the guidance relative to EBITDA, we are still in that range.
Unidentified Analyst: And let's see, Eddie, let me close out with the final question here. What do you see, I know Ford looks strong, are you doing any coating for GM and are you still tight with Chrysler and what does it look like for the big three for the next couple of years?
Edward Crawford: Well, as you know, we have a wonderful relationship with Ford and with Chrysler, and interesting you would bring up GM that's our penetrating and increasing with them is the goal in the auto business. Although we do very well within some of the manufactured products, but we'll be talking more about that company and that relationship as we go forward. It's very active again, interesting enough even a company of that sized the doors are open, they are looking for long term relationships here and qualified suppliers, as they look into the supply base, it all look different. The companies that they've invested and getting prepared to partner with these companies the supply base has been reduced considerably. And good customers, we are looking for them, and they have started looking for good companies that are going to be in business. Keep in mind how many companies in the aluminum casting business are out of business in the last five or six years. So we are excited about the big three. They are being run better the doors are opened. I am excited about that; we should be, because we've got a big investment in it.
Unidentified Analyst: One final segue. How about the European markets, are those looking soft going forward right now, are you still comfortable with your position there?
Matt Crawford: We actually were recently in Europe, visiting a couple of the operations and also visiting with some European banks. In the news there is not about growth, our numbers and our improvements are not built on the back of strong European content. But having said that, those businesses that we have there do export to Asia. So those businesses are benefiting. I would say that the news there was less dour than we expected. So we are optimistic, that we'll see some strength there. But it is certainly not leading us as it relates to our improved numbers, I can tell that.
Edward Crawford: We would like to be able in the future to talk about we're already there with the manufacturing aluminum; it is not a business that, although (Fiat) is doing a lot of incredible things and Chrysler having great influence. So that's an opportunity for us to maybe to go there with aluminum. But really it will be interesting to follow the development of supply Tech business in Europe at the right time. We've never been there, but we could very well try to follow some of our customers to Europe in a big way, other than the (ads) and so forth. But it's not been a targeted effort at Supply Tech or Park-Ohio to bring supply technology really to the continent there, and I am talking about Germany particularly and Italy and Spain and so forth. We'll be cautious about it, but there is a time and a place for that activity.
Operator: Our next question is from the line of (Young Kwon with Barclays Capital).
Unidentified Analyst: If I could just repeat everybody else's sentiments about a very good quarter on your part. Most of my questions have been answered. Just one, if I could just follow up on the operating margins here on the Manufactured Products side. Obviously, a very good performance on a sequential basis. Going forward here, how should we think about the margins? Do you think that there is some additional margin you can gain assuming kind of a flattish year on the revenue side or do you really need to see some additional growth on the top line to get higher than like a 12% type margin?
Matt Crawford: I think we'll be driven principally by additional revenue. I think that it is a company that has a global footprint that operates out of a dozen different countries. As we've discussed a few moments ago the strength of the operation is the aftermarket business. In that business, we need production to improve to support that business. So that's the healthy margin business. But you need your customers to be operating full steam ahead. And then obviously, the new equipment orders and the absorption that gives to our global manufacturing footprint is important as well. So I think there is perhaps of all our business, that business has the most operating leverage in it. So I think the management team has done a great job in managing a business through a tough cycle. And I would expect that their improvements would be driven mostly thorough extra revenue and not so much in terms of additional efficiencies or productivity. Although I think there's opportunity there as well, but it won't be the principle driver.
Unidentified Analyst: Sure. And if I can just ask a more general question on the back of that? What do you think it is that we really need to see in order for that top-line to start growing?
Matt Crawford: I think we need to see more of what we saw last couple of months, significant capital goods orders, most notably in companies that are related to oil and gas end markets and are related to principally steel, not only steel. But I think steel certainly helps. So I think that a global research in those markets is going to be helpful. But I will also say that we are benefiting a little bit from, that will continue to be absolute lack of investment by lot of our customers during the latter half of last year. So I think sequentially we are seeing a return to normal some of the more interesting and maybe careless choices that were made to try and not expend cash last year I thin are coming on to roost. So I think that's going to benefit. But I guess the bottom-line is, we need more bookings months like the last couple of months and we need increased global production in some of those base metals.
Edward Crawford: Let me play out something else about the atmosphere in which this equipment goes into. I mean, we're in the gas and oil business and the steel business, and you look at the fourth quarter of '08. And our equipment is in again very robust, tough, pounding 24 hours a day atmosphere; is running the mills 24 hours, running the pace 24 hours. And in '08 for example, when everyone's decided there was going to be a problem in '09, everyone just stopped buying new equipment, they stopped repairing their equipment and they were sort of running into the (ground). It's there; there'll be capital equipment, it's on its way; the day it's going to get here, we're not sure, but it's coming because they keep running this equipment and it wears out. One thing great about this, the areas we're in and the capital equipment business are not where you put up a machine and it's there for a 100 years, I mean this is stuff that runs 24x7 in the steel mill and wears out in a very, very short period of time unless it's maintained or is replaced. So it's on its way and we'll see it shortly.
Operator: Our next question is from the line of Alan Weber with Robotti & Company.
Alan Weber - Robotti & Company: Two quick questions. One is, on Supply Technologies, I forgot currently or for next year, what percent of that is Class A or heavy duty trucks?
Edward Crawford: Well, that's a great question. And while they figure it out, let me tell you it's a lot less than it ever was by design. Our retreat from our large international account by design impacted obviously percentage. If you have another question, then we'll come back to that one.
Alan Weber - Robotti & Company: I was just curious if it's still significant, and then you would get the benefit of everybody's expectation of higher truck builds next year, I was kind of curious?
Edward Crawford: I can answer in this viewpoint, in looking at the big picture, we are very interested in that segment. Volvo is one of our top accounts, so as Volvo goes we will go relative to our trucking business. We have positions in other manufacturers, but quite frankly, especially in Supply Technology that was a disproportionate amount of the business and we have felt and I still feel that it should be a smaller part of the big pie. So the customers we have, we enjoy, but we haven't deemphasized it but it just cannot be 30% or 40% of the total. So do you have the answer, gentlemen?
Matt Crawford: We do. It's about 8%.
Alan Weber - Robotti & Company: The other question was on the aluminum side. I think you mentioned that you are at 50% capacity?
Edward Crawford: Yes.
Alan Weber - Robotti & Company: Is there like a number that you think is optimal, and if there is such a number, besides more car builds, can you win enough market share to kind of close that gap?
Edward Crawford: If we're running at 50% capacity and you look at the sales, it's clear that if you annualize the first six months it's a $150 million business, annualized basis. We've said continually that this company has over $300 million worth of business. So, is there another $100 million business there for us? We hope so, but it will be at reasonable margins. We are not in that business just to run up the revenue and not get the return. So in my opinion it's clear. Again, maybe I'm more optimistic than most, but if you look at these auto companies and look at the way they are being run now and look at the American auto industry, there are going to more than 12 million cars sold in America on an annualized basis over the next five years. Let's just pick a number of 15, 14. We will be a benefactor of that and again its embedded capacity paid for CapExed out. So is there another, $100 million business available to us? I hope so.
Alan Weber - Robotti & Company: I was just curious like if you look out two, three years in terms of how much new business you are bidding on or is that the bulk of it to kind of get that capacity gap narrowed or is it going to be higher car sales?
Matt Crawford: Well, its combination of new business is higher car sales take over businesses is something that we do very well. But I would say that quite frankly, if I were to look ahead and say, we are going to add $100 million in sales, it could be equally in new business from the cars and the existing business, that we take over, because of the people are not there or lost their way in the aluminum business. And we are also making a point to growth. There are seven different ways you can make aluminum products. There is the one called die-casting, which we have never been really that active in, that's changing. So, we can be in a partly aluminum business and grow in die-cast segments which is the largest segment of total aluminum dollars, the die-casting aspect of it is probably 50% of it. And we have very little position in the die-casting business at this point. And move into the die-casting business, which something we would love to do, then we would even grow faster than we all could really expect.
Operator: There is no further question at this time. I'd now like to turn the call back over to Mr. Crawford.
Edward Crawford: Well, thank you very much. We always enjoy reporting especially the good results. But again, I want to point out that what's happening here today was put in place a year ago. Everyone's working hard, but we are prepared for this. And again, any wind in our back, any revenue enhancement here will drive the company. But we can, as you know, play in the rain or we can play in the sunshine. But I think we're in the right track. We've positioned the company and revenue is what we are anticipating and that will change and increase the profitability of the company over the next two three years. But thank you for your support and we look forward to see you at the end of the third quarter.
Operator: Thank you for your participation in today's conference call. You may now disconnect.